Operator: Good day, everyone, and welcome to EOG Resources First Quarter 2021 Earnings Results Conference Call. As a remainder, this call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to Chief Financial Officer of EOG Resources, Mr. Tim Driggers. Please go ahead.
Tim Driggers: Good morning, and thanks for joining us. We hope everyone has seen the press release announcing first quarter 2021 earnings and operational results. This conference call includes forward-looking statements. The risks associated with forward-looking statements have been outlined in the earnings release, and EOG's SEC filings and we incorporate those by reference for this call. This conference call also contains certain non-GAAP financial measures. Definitions, as well as reconciliation schedules for these non-GAAP measures to comparable GAAP measures can be found on our website at www.eogresources.com. Some of the reserve estimates on this conference call, or in the accompanying investor presentation slides may include estimated potential reserves and estimated resource potential, not necessarily calculated in accordance with the SEC's reserve reporting guidelines. We incorporate by reference the cautionary note to U.S. investors that appears at the bottom of our earnings release issued yesterday. Participating on the call this morning are Bill Thomas, Chairman and CEO; Billy Helms, Chief Operating Officer; Ezra Yacob, President; Ken Boedeker, EVP, Exploration and Production; Lance Terveen, Senior VP, Marketing; and David Streit, VP, Investor and Public Relations. Here is Bill Thomas.
Bill Thomas: Thanks, Tim, and good morning, everyone. EOG is delivering on our free cash flow priorities and our strategy to maximize long-term shareholder value. Yesterday, we declared a $1 per share special dividend to demonstrate our commitment to returning cash to shareholders. Combined with the regular dividend, we expect to return $1.5 billion to our shareholders through dividends in 2021. Double-premium well productivity and cost reductions are substantially improving our returns and increasing our ability to generate significant free cash flow. In order to maximize long-term shareholder value, we will remain flexible as we carry out our free cash flow priorities in the future. By doubling our reinvestment standard, the future potential of our earnings and cash flow performance are the best they've ever been. This quarter, we generated a quarterly record $1.1 billion of free cash flow and earned $1.62 per share of adjusted net income, the second highest quarterly earnings in company history. In addition, our balance sheet is in superior site with a peer leading low net debt to cap ratio. Next, Ezra will review our capital allocation strategy in more detail. Billy will go over our operational performance, and Tim will cover our financial performance before I make a few closing remarks. And here is Ezra.
Ezra Yacob: Thanks, Bill. Yesterday, dividend announcement is just the latest in a long line of achievements that demonstrate the value of EOG's fundamental strategy of returns-driven capital allocation, including the impact of permanently raising our investment return hurdle rate for the second time in five years. In 2016, during the last downturn, we established our premium investment strategy, which requires a 30% direct after-tax rate of return at $40 oil and $2.50 natural gas. The premium investment strategy drove a step-change in our capital efficiency and resulting financial performance. It is the reason we entered 2020 in a position of operational and financial strength, which enabled us to generate positive adjusted net income and free cash flow in a year of unprecedented oil volatility and prices that averaged just $39. This year, we increased the return hurdle once again, doubling it to 60% at $40 oil and $2.50 natural gas. Sustainable improvements in our inventory of drilling locations and continued progress in exploration have paved the transition to double-premium. The data driving our confidence to make this move is illustrated on Slide 6 of our investor presentation, which details the return profile of every drilling location. Half our current inventory earns at least two times the premium return hurdle rate we established back in 2016. 5,700 double-premium locations is more than 10 years' worth of inventory at our current pace of drilling and is more than we had when we made the transition of Premium five years ago. Just like we did with our Premium inventory, we are confident we can replace our double-premium locations faster than we drill them through line of sight into additional cost reductions that will increase the returns of existing inventory and through exploration. A number of innovations. which Billy will discuss in a moment, are being piloted across our operating areas, and will sustainably drive down both well costs and operating costs as we implement them throughout the company. Our exploration program is focused exclusively on prospects that will improve on that 60% median return. In fact, our anticipated return on the current slate of new exploration plays is more than 80%. To see the impact of our premium returns focused capital allocation strategy, a closer look at our corporate financial performance is required. As we replace our production base by drilling locations with higher well-level returns, the price required to earn 10% return on capital employed continues to fall. Prior to establishing Premium, EOG required oil prices upwards of $80 to earn a 10% ROCE. As the Premium strategy matured, the oil price needed to earn 10% ROCE came down and averaged just $58 the last four years. This trend is illustrated on Slide 9 of our investor presentation. For 2021 that price is just $50 and we're not stopping there. We expect it will continue to fall as our well-level returns improve. The impact of reinvesting at higher returns is also showing up in our free cash flow performance. We more than doubled the dividend over the last four years and improved our balance sheet, reducing net debt by nearly $3 billion. As a result, net debt to total capital at the end of last year was just 11%, but our future financial performance potential is the real prize. Our first quarter results are a preview of what we are aiming for. Over the coming years, we expect reinvesting in our current inventory of high-return wells will continue to lower the corporate decline rate and compound the value of our low-cost operating structure. The result leads to higher margins and generates even more free cash flow, providing us tremendous opportunity to create long-term shareholder value. We believe when we look back in a few years, it will be viewed as the catalyst for another step change improvement in EOG's financial performance. Our fundamental strategy of returns-driven capital allocation remains consistent, and consistency is key prioritizing reinvestment and high-return projects is the driver behind the steady improvements we've made year after year. As a result, we are now in a position to follow through on our commitment to return additional free cash flow to shareholders. Looking ahead, you can expect our priorities to remain consistent, investing in high returns, generating significant free cash flow to support a sustainable and growing dividend while maintaining a strong balance sheet followed by opportunistic return of additional free cash flow to investors and bolt-on acquisitions. Now here is Billy.
Billy Helms: Thanks, Ezra. The first quarter of the year was about execution. We exceeded our oil target producing more than the high end of our guidance range because wells that were offline due to the winter storm, Uri, recovered a bit faster than expected. As a result, our first quarter daily production declined just 3% compared to the fourth quarter last year. Our capital for the quarter came in under our forecasted target by 6%, mainly due to improvements in well cost across the company. The savings realized during the first quarter are in addition to the tremendous 15% reduction last year. EOG is on track to reduce well cost another 5% this year, despite some potential inflationary pressure as the industry activity resumes. Similar to previous quarters, these results are driven through innovation and efficiency gains in each phase of our operation. A closer look at our operations will help explain why we are confident, we can once again lower well cost. Our drilling teams are consistently achieving targeted depths faster with lower cost. The constant focus on daily performance and reliability of the tools and technical procedures is creating this continual drive towards lower cost. Some of the benefits this year stemmed from larger groups of wells per pad simply requiring less rig move cost per well and increasing efficiencies locked offline cementing. The larger well pads also complement our completion operations through the increased ability to utilize the technique we call Super zipper. We began our initial experiments with this technique back in 2019, and it has since advanced to consistently deliver the expected well results at lower cost. We have also learned that super zipper is particularly well suited to optimize the efficiencies of our five electric frac fleets. However, conventional spreads gain efficiencies as well. This practice involves using a single spread of pressure pumping equipment to complete four more wells on a single pad. We split the equipment's capacity in half simultaneously pumping on two wells, while conducting wireline operations on the remaining wells. We piloted and perfected a super zipper logistics in our Eagle Ford play and the collaboration between operating areas has accelerated its adoption throughout the company. And in cases where a minimum of four wells cannot be physically be located on a single pad, the engineering teams are working to develop new techniques where we can still utilize this improved completion practice. Completion costs are also benefiting from reduced sand and water costs through our integrated self-sourcing efforts. The savings we realized by installing water reused pipelines and facilities saves about 7% of well cost compared to third-party sourcing and disposal. Longer-term, we expect water reuse and disposal infrastructure will continue to lower lease operating expense in each area as well. Lease operating expenses also benefited from lessons learned through the pandemic this last year. The number of wells one lease operator can maintain has increased by as much as 80% by optimizing the use of innovative software designed and built by EOG. The software prioritizes lease operator activity throughout the day using our mobile and real-time software infrastructure. Our experienced last year inspired a number of new ideas to further high grade at least operators work activity throughout the day, which we believe may continue to expand productivity in day-to-day field operations. Slide 35 of our investor presentation illustrates the consistent progress we have made year-after-year on productivity all powered by innovative ideas, generated bottom up by employees. Each of our operating - active operating areas functions as an individual incubator to test out new ideas, many of which have our homegrown innovation from EOG employees and rollout companywide, if successful. That's one of the primary reasons, our well cost improvements every year are never won silver bullet, but a list of small to medium-sized individual improvements across all elements of total well costs that results in sustainable cost reduction. As a result of the innovation spreading throughout the company to reduce capital and operating cost, I have strong confidence that the cost structure and capital efficiency of the company will continue to improve. Here's Tim to review our financial position.
Tim Driggers: Thanks, Billy. Yesterday's special dividend announcement marks another milestone in the growth of EOG's profitability and cash flow. We achieved this milestone through the disciplined execution of consistent long-term return focused strategy for capital allocation supported by a strong balance sheet. Over time, the strategy has produced increasing amounts of free cash flow. The top priorities for the allocation of that free cash flow remain sustainable dividend growth and debt reduction. The shift to Premium in 2016, drove a significant improvement in returns, profit margins, and cost enabling the significant increase in the dividend over the last four years. Since 2017, the dividend has grown from $0.67 per share to $1.65 per share, now an annual commitment of almost $1 billion. Going forward, our goal is to continue growing the regular dividend. We have never cut or suspended the dividend and we remain committed to its sustainability. With the shift to double-premium we're now focused on making another step-change improvement, and the results of those efforts will guide future common dividend increases, and the potential for special dividends. Since the shift to Premium we have also retired bond maturities totaling about $2 billion, with plans to retire another $1.25 billion in 2023 when the bond matures. Net debt to total capitalization was 8% at the end of the first quarter. A strong balance sheet with low debt has been as the heart of EOG's strategy throughout our existence. It's not just conservatism is about creating a strategic advantage. Our superior balance sheet enables us to acquire high-return assets at marvelous cycle prices where the exploration acreage like the Eagle Ford or for the new players we're working on today bolt-on acquisitions are companies like the Yates acquisition five years ago. A strong balance sheet also gives us the financial strength to be a partner of choice in our operations, whether it is with marketing or export agreements, service providers or even other companies and other countries in locking - unlocking new plays. Strong balance sheet extends to ensuring ample liquidity, which we have also secured with no near-term debt maturities, $3.4 billion of cash on hand and a $2 billion unsecured line of credit. Now, EOG is positioned to address other free cash flow priorities by returning additional cash to shareholders. The $1 per share special dividend follows through on these consistent long-tailed priorities. At $600 million this special dividend is a meaningful amount, while also aligning with our other priorities. After paying the special dividend we will have $2.8 billion of cash on hand, a full $800 million above our minimum cash target. This is a healthy down payment on the $1.25 billion bond maturing in two years. Going forward, our free cash flow priorities remain unchanged. We will continue to monitor the cash position of the company, oil and gas prices and of course our own financial performance. As the excess cash becomes available in the future, we will evaluate further special dividends or at the right time opportunistic share repurchases or low-cost bolt-on property acquisitions. I think it goes without saying you should expect us to avoid expensive corporate M&A. You can count on EOG to continue following our consistent strategy to maximize long-term shareholder value. Now here's Bill to wrap up.
Bill Thomas: Thanks, Tim. In conclusion, I would like to note the following important takeaways. First true to the EOG culture our employees have fully embraced doubling our investment hurdle rate. As we drill more double-premium wells, we expect our performance will continue to improve, our decline rate will flatten, our breakeven oil price will decline, our margins will expand and the potential for free cash flow will increase substantially. Second, while our new double-premium hurdle rate alone will drive significant improvement it represents just one source. We never quit coming up with new ways to increase productivity and lower costs. Innovative new ideas and improved technology are developing throughout the company at a rapid pace, and we will continue to result in even higher returns in the future. And finally our special dividend this quarter, we're demonstrating our commitment to generating significant free cash flow and using that free cash to improve total shareholder returns. We are more excited than ever about the future of EOG, and our ability to deliver and maximize long-term shareholder value. Thanks for listening, and now we'll go to Q&A.
Operator: Thank you. The question-and-answer session will be conducted electronically. [Operator Instructions] And the first question comes from Scott Gruber of Citigroup. Please go ahead.
Scott Gruber: Yes. Good morning.
Bill Thomas: Hello, Scott.
Scott Gruber: So, the most common question we received, I know you touched on it a bit in the prepared remarks which is the framework that you guys used to determine that the $1 special dividend was the right amount, now is the right time. Can you just elaborate on that a little bit more around the framework and the timing, obviously, folks are trying to get a sense of whether the special dividend can repeat in the future?
Bill Thomas: Yes, Scott. Certainly, we're demonstrating our commitment to our shareholders by returning significant amount of cash back to them. And the $1 per share, I think is a very significant number, and large enough to be very meaningful. And I'm going to ask Tim to kind of go through some of the numbers to give you a little bit of the background on the reason that we pick this number.
Tim Driggers: Thanks, Bill. So, going back to our priorities over time, it's consistent within our priorities. If you look back to our regular dividend has increased to 146%, since 2017, that's one of our highest priorities. We reduced debt by $2.1 billion. So that set us up to be in a position to now return more cash to the shareholders. When we looked at our cash position, we were sitting with $3.4 billion of cash. So returning $600 million at this point in time, as Bill pointed out, is a significant amount, and it follows through on our long-held plan to return cash to the shareholders. So it simply following through on what we've been committed to for a long time.
Bill Thomas: I want to add, Scott. Going forward, our free cash flow priorities and framework haven't changed. And so, you have to put the special dividend in context with our total framework. And just a reminder, we've already said this, but our first priority is a sustainable dividend growth. We believe the regular dividend is absolutely best way to give cash back to shareholders, and we certainly are working on that and have worked, we got a great history of doing that. And then the next one is debt reduction and we've got a little work left to do that as Tim noted in his opening remarks. Our next options are the special dividend and certainly and favorable times what we have right now those are the things that we are doing. And then we'll also - we want to keep in mind the potential for opportunistic share repurchases in downturns, counter cyclic opportunities and share repurchases. And then after that, we also want to be able to consider high return bolt-on acquisitions, and these are acquisitions that go in our best operating areas obviously where we've got a lot of synergy, and a lot of ability to move quickly and drill wells. And some of them could be in our new exploration plays where we can capture a very high potential acreage at very low cost. And so, we'll just continue to evaluate all these options and work with this framework, and we'll evaluate the best use of cash on a quarter-to-quarter basis. We have a dynamic business environment, all the time. So it's important to have the flexibility to use the cash in a way that creates the most shareholder value.
Scott Gruber: Got it. And then my follow-up relates to the growth strategy in 2022 and beyond. The oil markets have healed next year and you guys have been very explicit around the factors you're looking at, and you laid out the 8% to 10% growth case on your last call. But there seems to be some discussion around - now around the potential for a middle ground, if you will, maybe some growth case below that 8% to 10%. So I just wanted to hear your latest thoughts around 2022, if the oil markets have healed, and it's time to grow again. What is the right growth cadence? What factors are you looking at to determine that rate of growth if the markets have healed, is there a middle ground somewhere between 0% and 8% to 10%, or is it just if it's time to grow, we're going to grow at 8% to 10%?
Bill Thomas: Yes, thanks, Scott, for that question. We want to make sure we're really clear on that. And I think we have, we're not going to grow until demand is recovered to pre-COVID levels and which is it's on the way to do that. I think everybody can see that, and we want to make sure that obviously world inventories U.S. inventories are below the five-year average. And then we're looking for spare capacity to be certainly a lot lower than it is right now. And that just means, not a lot of oil shut into match supply and demand. And every year, the market factors that year going into that year will determine our plans. And so, we want to be flexible, and we want to be able to - and we will modify our growth plans to fit those market conditions. If we need to grow at a lower rate or no growth at all like we are doing this year, whatever that right growth plan is, whatever fits the market conditions that's what we want to do. Above all, everything else we are committed to staying very disciplined and not forcing oil into a market that's not ready.
Scott Gruber: Got it. Thank you. Appreciate the color.
Operator: The next question comes from Arun Jayaram of JPMorgan. Please go ahead.
Arun Jayaram: Yes, I guess my first question is kind of to dovetail on the special dividend talk. Bill, this year you've guided to $3.4 billion in free cash flow, $1.5 billion for dividends, another $750 million for debt you've already paid down? So that leave a little bit more than $1.1 billion of free cash flow, and I know you're above your minimal cash target. So I guess the question is, how are you gauging the market for bolt-ons versus potentially if the oil price holds up here in terms of looking at more cash return this year?
Bill Thomas: Yes, thanks, Arun. We take the - we evaluate where we are every quarter. I can't give you any specific on anything, but we evaluate where we are every quarter, and we're constantly looking at bolt-on potential and evaluating that. So we want to make sure we leave room to fully consider that something that would make a very significant difference in the future of the company, upgrade our high-quality premium, double-premium inventory, we want to do that. So, we're very fortunate we've got a lot of cash and we've got a lot of – hopefully, we believe a lot of cash coming. So that's a lot of great opportunities for us to consider additional special dividends, bolt-on acquisitions, et cetera. And we keep in mind, as Tim talked about, we want to keep in mind our debt reduction targets in a year and then and excuse me, in 2023, and also be able to continue to think about growing our regular dividend. So we'll just keep all those in the proper framework and you just need to know that we're committed to doing the right thing at the right time for the shareholders to be able to maximize the total shareholder value.
Arun Jayaram: Great and my follow-up, Bill you cited this is being the company's best free cash flow quarter in history. But I wanted to see if you could provide a little bit more detail on how the unique pricing conditions for natural gas given winter storm, Uri some of your leverage to JKM. How that contributed to the free cash flow? How would you call that out? I know there are some incremental costs, but what was the puts and take on the gas price this quarter?
Bill Thomas: I'm going to ask Tim to give some details on that. But just before turning it over to Tim, everybody needs to know the special dividend had nothing to do with the storm in the natural gas process. Well Tim, you'll give some detail?
Tim Driggers: Sure. When you boil everything down the effects of Uri was about $40 million to cash flow, and net income in the quarter. Obviously, they're a big component in there, but that's the bottom line. It was very immaterial to our cash flow, our net income.
Operator: The next question comes from Scott Hanold of RBC Capital Markets. Please go ahead.
Scott Hanold: Thanks. First and foremost, I want to - I appreciate you're very direct commentary on your desire not to grow, and what the plan is. So hopefully that does clear the air a bit. What I'm wondering is strategically if we do stay in sort of the current environment, whether it's '22, or even beyond you all do build a lot of free cash flow. I mean we're talking what something around $3 billion even after your base dividend annually. Do you all see if there is a benefit into setting up a more predictable return to cash, cash return to shareholders, like some of your other peers did. Do you think there is a benefit to that predictability? Or would you rather see that more opportunistic?
Bill Thomas: Yes, Scott. We were always in a very dynamic business environment. So it's important, we believe to have the flexibility to use of cash in a way that creates the most shareholder value. We are - one of the reasons we don't - the biggest reason we don't want to get into a strict formula because we don't want to be put in the position to where we're growing oil say at 5% when the market clearly does not need more oil. So we want to be in a position to where we can do the right thing at the right time and to maximize the use of the cash in our plan to maximize shareholder value.
Scott Hanold: Thank you for that. And my next question, maybe this one's for Ezra. You all talked about shifting to double-premium that's generated significant increases to EURs, that Page 8 shows just a massive uptick. Did you all have any color on how much of that is organic versus mix shift? I would assume the shift to relatively more Permian has relative to say, Eagle Ford has buys that upward. But do you have a sense on how much is mix shift versus organic?
Ezra Yacob: Yes Scott, thanks for the question. This is Ezra. Yes, definitely in the Permian we have a higher percentage of those 5,700 double-premium locations are located in the Permian, but part of that is simply just because we have so many targets that are capture there in the Delaware Basin. What I would say is we have a fairly wide variety and fairly distributed variety of double-premium wells across our entire portfolio, including the Eagle Ford, the recently announced Austin Chalk, Dorado play, and the Powder River Basin as well.
Operator: The next question comes from Doug Leggate of Bank of America. Please go ahead.
Doug Leggate: Thank you. Good morning, everyone. I apologize. I was just taking off my headset. Bill or Ezra, I wonder if I could press on Scott's point. I'm afraid I'm not quite where Scott isn't thinking this draws a line under the growth story. So my question is real simple. You currently have one of the lowest free cash flow yields in the sector arguably a reflection of your share price, but my point is that everyone has got the capacity to spend more money. What happens to your 10% return at $50 oil, if the whole industry follows, you're leading goes back to a 10% growth rate?
Ezra Yacob: Yes, Doug. I want to make it really clear. We're not stuck on 10% growth rate, or 8% growth rate. We are totally focused on making sure we do the right thing at the right time. So we, the oil price does not guide how much we're going to grow. It's the market fundamentals. And so we're really focused on that we've laid out a - I think a strong set of fundamentals that we're focused on and we will adjust our plan each year, which means our growth plan each year to those market fundamentals, and maybe certainly and we - next year that we don't grow at all. We may grow at 4%, 5%. We'll just have to see what the market's fundamental show.
Doug Leggate: That's actually great answer, Bill. It's not seven stone is kind of what I was really trying to get to. My follow-up is Ezra very quickly. 10 years of inventory double-premium at the current pace, if you do choose to go back to growth one assumes that 10 years shrink some. So can you talk about the sustainability, and how that hold up plays into again - how you think about that activity level? And I'll leave it there. Thanks.
Ezra Yacob: Yes. Doug. That's a good question. Similarly, as we've done over the past few years, we're consistently focused on getting better year-after-year. And so by driving down well costs through sustainable well cost reductions, some of which Billy spoke to in opening remarks, but also through applying technology and innovations to increase the well productivity gains, we're able to convert some of our existing inventory every year into that double-premium metric. In addition of that we have few other avenues. The first, which Bill has touched on is bolt-on acreage acquisition opportunities in areas of preexisting development, but then also our exploration effort. And as I talked about in the opening comments our exploration effort is really focused on, again making another step change to our current inventory. It's focused on adding low decline, high impact plays that really increase the overall return profile of the company. And again, regardless of any growth rate when you're reinvesting in higher return opportunities and adding lower-cost reserves to your company, you're really driving down the cost base to the company year-after-year and that's essentially what translates into our corporate financials and allows us to lower that price required for a double-digit ROCE every year.
Operator: The next question comes from Neal Dingmann of Truist Securities. Please go ahead.
Neal Dingmann: Guys, my first question is around how you look at your reinvestment rate? I'm just wondering, number one, could you talk about at sort of current strip, how you see the reinvestment, and again let's assume another $5 or so higher, what would that do to that?
Bill Thomas: Yes. Neal. Thanks for the question. We're going to ask Billy to comment on that.
Billy Helms: Yes. Thanks, Neal. You know for the reinvestment rate, we're always looking at as Bill already mentioned earlier, what's the market look like and what is the need for all in. We're not - certainly not going to grow into a market that need the oil as he pointed out and just trying to make sure re-emphasize that point. And then in going forward each year, we will do the same thing, we always do. We kind of see where the market is, and what the prices are and what are opportunities are to develop our assets, and we balance that against the cash needs of the company. So, it's not really a straight formula, it's more about where the market is at that current time.
Neal Dingmann: I'm glad to hear that. I wish more others would say the same. And then just a follow-up. Could you talk about, I would call this question more on sort of your regional allocation process. I know Bill, you talked about sort of the new hurdles, the Premium locations, but I'm just wondering, how does that factor in when you've got some exciting, but not quite as developed areas like in the PRB. But I think it have a high potential, but if you just strictly looking at maybe what they produce immediately might not compete. So I'm just wondering how do you factor in some of those high-potential wells with this plan?
Billy Helms: Yes, Neal, this is Billy again. Let me take a stab at that. So as we look at all of our assets, that's the beauty of having a decentralized culture where we are focused on multiple plays across our portfolio. You have plays that are in different phases of their life cycle as you might think about it as you just said it like the Eagle Ford is a more mature play. It's had a growth for about 10 years. It's further down that maturity window than say that the Delaware Basin. And then the Powder River Basin is certainly in early maturing or early growth phase play. So each one of those we certainly go in with the idea of delineating the play first, putting in the infrastructure to drive down our cost over time, and then maximize returns. So each one of those have a different lifecycle that commands a different amount of investment and overall though, the company is able to maintain a very steady pace of activity and future value creation through that the way we operate the company.
Operator: The next question is from Leo Mariani of KeyBanc. Please go ahead.
Leo Mariani: I am spending here. So everything that just based on your guidance, your CapEx is picking up on here in the second quarter. I just wondered what was sort of driving that, I wasn't sure what was time causing up?
Billy Helms: Yes, Leo, this is Billy. So the guidance on the CapEx, it's up a little bit in the second quarter relative to the first quarter is simply the timing of when wells are available to be completed. So we'll have a little bit more completion activity in the second quarter than we did in the first quarter. That's simply yes. I think in general will have about 50%, 52% of our CapEx spend in the first half. The remaining to be spent more ratably through the rest of the year and the volumes will be really pretty much keeping with that 440,000 barrels a day, per quarter average the rest of the year. So it's a - we will be maintaining 440,000 barrels a day each quarter going forward.
Leo Mariani: Okay, that's helpful for sure. And just wanted to ask on the exploration plays. If I'm not wrong, I think you guys are certainly devoting more capital there particularly to the drill bit in 2021 here. I just wanted to confirm you guys kind of drilling out multiple plays at this point. I think you did a little bit of that in the last couple of years as well. And as a result maybe just can you kind of speak to high level, what your competences, and being able to prove some of these up in the next year?
Ezra Yacob: Yes, Leo. This is Ezra. I appreciate the question. Yes, on our exploration plays, you're right, we're - we've allocated about $300 million to the exploration effort this year. Over the last few years, we've done a little bit of drilling, it was dominantly kind of leasing, putting some of the acreage together and then, of course, there was a pullback here in 2020 due to the reduction in capital allocation associated with the downturn in prices and COVID. But this year we are back to drilling multiple prospects. We're at a point where the prospects have started to move at different phases, I would say. We're drilling exploration wells across some of the prospects, across others we're into more of what I'd call appraisal wells, and we're feeling very confident with where we're at, the results that we're seeing, and we hope to be able to provide some results on that soon.
Operator: The next question comes from Jeanine Wai of Barclays. Please go ahead.
Jeanine Wai: Maybe a question for Ezra, following up on exploration. You're in Oman now, and I believe we saw last month that you paid a nominal amount foreign interest in the Beehive oil prospects offshore Australia. So can you talk about what attracted you to Australia? And do you still have interest in other international plays?
Ezra Yacob: Yes, Jeanine. That's a great question. This is Ezra. Yes, the opportunity there in Australia, as you mentioned, it's on the North West Shelf, obviously, everyone knows a very prolific hydrocarbon region. It's a shallow water opportunity that we've stepped into there, as you mentioned for a very low upfront cost. It's exposing us to a prospect that we think has the opportunity, the potential to be impactful to our company. It - we're forecasting it has the potential to really compete with our domestic returns, and what we have - the opportunity that we have here in Australia is really an outgrowth of our experience in Trinidad where for nearly 20 years, we've been operating in the shallow waters offshore of Trinidad, and really this is a geologic province, a type of play where the industry has really moved away from. And so we found ourselves as kind of a niche operator, and we've developed not only operational procedures but also some geologic techniques, where we think we can come into some of these shallow water prospects and make very, very good returns. The attractive thing about Australia again is not only does it fit into our experience level from the operations and technical perspective, but it has many off-take and oilfield service availability there. And of course the low cost of entry to an exciting amount of upside in the prospect.
Jeanine Wai: Okay. Interesting, while we looking for - my second question, and I apologize, and for beating the horse again on the - but on the special dividend the first section in the market is simply that net cash returns are consistent of formulaic. You can't capitalize on evaluation, you don't get credit for it, et cetera. With that in mind, you mentioned that you evaluate the health in the business every quarter, probably more frequently than that, and specifically when it comes to the special dividend can you just clarify, is it really a matter of just holding $2 billion minimum operating cash plus $800 million to $1.25 billion for this 2022 maturity? And then everything else kind of get paid out in due time, and it kind of needs to be meaningful. I know you also mentioned a couple of times having optionality for high return bolt-ons is also one of the priorities. So if you have any kind of commentary and a comfortable placeholder for that would be really helpful. Thank you.
Bill Thomas: Jeanine, Tim's given I think some answers for some of those on there. Yes, we want to keep ample cash on the balance sheet to run the business and that's around $2 billion. And then we have set aside, are looking at plans to reducing the $1.25 billion bond in 2023. So that's all fits in, and that's part of our evaluation of how we use the cash and when we use the cash. But really the special dividend just fits into the framework that we've already laid out in our commitment to giving back cash to shareholder. So we will look at our cash position, look at a bolt-on potential opportunities. They can truly be any size from a very small, we've done in the past $20 million - $30 million deal, but they could certainly be bigger than that, too. So we'll take all that, and working into our framework and evaluate where the company is, and the outlook for the business, and our goal is to continue to return cash to shareholders through that framework.
Operator:
Q - Charles Meade:
Charles Meade: Yes, good morning Bill to you and your whole team there. I really just have one question, and it goes back to the some of your prepared comments Bill and more specifically share repurchases. Yes, I recognize that hasn't been your MO in the past, and they kind of have a bad reputation maybe because usually share repurchases wind up being pro-cyclical. In the way you talked about it you said for you, you would look at it in an opportunistic ways, the word I remember and you said in a downturn. And I guess my question is, it's easy to see a downturn in retrospect, right. Six months ago, you guys had a three handle on your stock. But it's hard to recognize when you're in it. So is there any guidepost that you can share about how you would recognize when you're in one of those downturns, so it's time to be opportunistic, or is it just one of the things, you know what, when you see it?
Bill Thomas: Yes Charles, I think you know, it goes right along with the supply-demand and market fundamentals analysis that we do. We can - we've gotten more sophisticated. We've got a very sophisticated model now developed through our information technology, and we're gaining a lot of confidence in it on being able to kind of be on top of the oil market and where it's headed and certainly the oil price that's the biggest indicator. But we, I think we'll be able to determine when is the right time, when is the opportunistic counter-cyclic time to maybe consider share about buybacks. And of course now we have a lot of cash on the balance sheet and we want to continue to watch that and keep that who will have an opportunity when we do have a downturn to have cash to do that, if that happens.
Operator: The next question comes from Neil Mehta of Goldman Sachs. Please go ahead.
Neil Mehta: Good morning, team and congrats on a good quarter here. The first question is Bill any updates on permitting on federal lands? And how that process has been to apply for new permits? And in general in your conversations with Washington does it seem like some of the risks around the federal lands exposure in the Delaware has diminished.
Billy Helms: Yes, Neal, this is Billy Helms. So on the permits, the federal permit, certainly we were very active in obtaining permits prior to administration change just to protect our activity levels as since this moratorium has been lifted, we are receiving a steady stream of permits. The permit stream is coming very well. We're receiving permits in all of our areas too. So I think the working relationships we've been able to maintain with the regulators is, and working through the process with them has benefited, if it is real well. So we're not really seeing any restrictions there. And I think the Biden administration clearly as said that activity, he wants to maintain activity on valid leases. So we're very comforted by the fact that we'll be able to continue then.
Neil Mehta: And the follow-up is just on the macro. You guys talked a little bit about the tools that you have to evaluate direction of oil price and the way things are trending. Bit curious if you could unpack what you're seeing real-time? And how you're thinking about the commodity price moving from here for both for oil and for natural gas?
Billy Helms: Yes. Neil on oil and as we already talked about the fundamentals are definitely improving. It's been a little bouncy on the COVID recovery and oil demand, but we are seeing very, very steady improvements. I think we're up to maybe 95 million barrel a day. Demand right now we think maybe by the end of the year that we'll get to pre-COVID levels of somewhere around 100 million barrels a day. We'll just have to watch it and see. The inventories are dropping. And we think you know there'll be fairly consistent draws on inventory from here on out, especially during the summer pickup activity. And so that's all looking really good. And then the spare capacity you know is going fine. It's been extended in drawing out a little bit further than what it started out to be at the beginning of the year, but we believe again as demand picks up that's spare capacity will be put back online. I'm going to give you the data when everything is okay. We'll just have to watch and see it, but certainly everything is going in the right direction. And I think the market as oil prices have responded to that. I think it's that what we're saying, and seeing it's not different than what the consensus view is. On natural gas, we're mildly bullish. Inventories are low, and supply is less and demand is higher this year than the supply. So we're going to be entering the summer and particularly the fall of the year, and it was pretty low inventories. So depending obviously is always depends on the weather on gas. And so, we'll just have to see how all that turns out, but we're optimistic on gas also.
Operator: The next question comes from Michael Scialla of Stifel. Please go ahead.
Michael Scialla: Yes, good morning, everybody. You highlighted for quite a long time, your ESG sustainability ambitions. Just wanted to see where you stand on the price on carbon, or carbon tax? And do you see any economic opportunities in the energy transition for EOG?
Bill Thomas: Yes, Michael I'm going to ask Ken Boedeker to talk on that. Just before he starts so - the carbon tax or issues like that we're going to leave those up to the legislatures and not come out with our opinions on that. We'll work with whatever transpires on that. So, Ken you want to talk about other opportunities?
Ken Boedeker: Yes, we really have no interest in lower - in our lower return business that this might lead to, but we've really made excellent progress in reducing our emissions over the last four years, and you can see that with our intensity rates coming down as indicated in the attached slides that we've got on the presentation there. We're focused on reducing our own emissions with projects that have competitive returns before we consider a second phase of applying technology such as carbon capture to reduce our emissions. And we do believe that we can use 1% to 2% of our capital budget every year to make a substantial progress towards our goals of no routine flaring by 2025, and it's been endorsed by the World Bank, and our ambition of Scope one and two net-zero by 2040.
Michael Scialla: Okay, thank you. And Bill, you mentioned some of the things you're doing to lower well cost, the larger pads and the Super-Zippers. Some of your competitors have talked about three-mile laterals in the Permian. I think you guys have done some two-mile plus laterals in the Eagle Ford, but do you see a trend toward three-mile laterals, particularly in the Permian or if not, what are the issues that would prevent that?
Bill Thomas: Yes, thanks, Michael. So on the three-mile laterals, you're right. We've done several, I'd say between 2.5 and three-mile laterals and multiple plays where it makes sense. And we do own probably more predominantly in the Eagle Ford, and then we've had some in the Bakken and also in the DJ. So, but there are unique circumstances that allow that to happen for us, and they're more driven by geology in that particular area, but also the access issues on the surface. I think just as a general rule, I'm not sure that it always makes sense to go through a three-mile lateral. I think you have to take into account the efficiencies have been able to complete that last mile of lateral economically compared to two-mile lateral those kinds of things and a lot of it does depend on the geology. And we spend a lot of detail time working through the geology and how to best approach every single well location we have. So there are some limitations on where you can do that effectively, and so it's not a broad-brush approach.
Operator: The next question comes from Vincent Lovaglio of Mizuho. Please go ahead.
Vincent Lovaglio: Thanks for having me on. I wanted to ask on the double-premium locations. You might have touched on it last quarter, but if there is anything unique to the geology across these plays that one's itself to higher productivity, but also the lower decline described in Slide 8? And if so, how that might affect your pursuit of new opportunities that are double-premium? Why you guys are differentiated in that pursuit, and also on the development of those opportunities?
Ezra Yacob: Yes Vin, this is Ezra Yacob. That's a great question. And yes, what we're highlighting there in the slide deck. It really comes down to what you touched on with the unique geology. These are the double-premium plays are usually in areas where we've really refined our target down to get - in our existing portfolio down to get rock quality that is higher, better permeability and really the big step change is, as we look forward into the exploration prospects as we've talked about before. We're looking for new plays that historically haven't really been drilled routinely with horizontals. We're looking for a higher quality of rocks that we can apply the horizontal drilling, and completions technology to, and really, it's the higher permeability, higher porosity that lends itself to the shallower declines. And we think that this is not only going to be a step change for our performance as a company going forward. But really potentially those are going to be the new reservoirs the industry eventually is looking at to apply horizontal drilling to in the future.
Vincent Lovaglio: Perfect. Thanks. And maybe second, any additional color that you can maybe give on unconventional EOR? Just where it stands in the Eagle Ford right now thoughts on flexibility across other plays? And then maybe how that could improve your environmental footprint going forward? Thanks.
Ken Boedeker: Yes, this is Ken. As far as EOR goes in the Eagle Ford right now we've high graded our EOR process, and we have some of our units that are in blow down and other units that were continuing to inject into. EOR is much more challenged in higher gas price environment with our double-premium return. So we are evaluating it for other areas based on that across the company.
Operator: The next question comes from Nitin Kumar of Wells Fargo. Please go ahead.
Nitin Kumar: Hi, good morning, gentlemen and first of all congratulations. The market is definitely receiving the special dividend very well. My question is perhaps a little different from some of the other ones that have been asked. Over time, I was looking at Slide 9 you've migrated to this double-premium strategy. With the macro environment is favorable as it is, what happens to the single premium or the lower half of your core inventory here? Ezra mentioned exploration pace is going to have returns as high as 80%. So just wondering, is there an opportunity to with A&D market opening to monetize some of those, or how should we think about that part of your inventory?
Bill Thomas: That's excellent question and we appreciate it, and I appreciate your compliments. Yes, we are always evaluating property sales, and I'm going to ask Ken Boedeker to comment on that in general for the company.
Ken Boedeker: Sure, thanks, Bill. We're always high grading our portfolio and divesting of those properties with minimal double-premium potential remaining. And we've actually sold about $7 billion in assets over the last 10 years, and we will continue to high grade our assets as we see the market giving them fair value.
Bill Thomas: And certainly you know in the last few years, it hasn't been a seller's market, but it is - it will turn as people get short of inventory and we think that the premium, the single premium assets that we have you know, even those are probably some of the best inventory in the industry. So those, certainly have a lot of value.
Nitin Kumar: Okay. And they don't - with $60 oil and cost where they are today, they don't compete for capital within your program?
Bill Thomas: Yes, that's correct. 30% rate of return at 40% doesn't compete in our program right now. It needs to be 60% rate of return at 40% flat. It's a definitely a huge shift in our returns. And that's what we've been talking about for the last several quarters in our script and in our slides detail a lot of really good information. But certainly, the shift to double-premium is, we believe by far the highest reinvestment standard in the industry, and it is a clear separator for EOG, and it will drive exceptional performance for the company going forward.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Thomas for any closing remarks.
Bill Thomas: In closing, our excellent first quarter results are a testament to EOG's ability to generate significant shareholder value. We're proud of all of EOG employees and their outstanding contributions to continuously improve the company. Our excitement about EOG's ability to improve returns and increase value has never been greater. So, thanks for listening, and thanks for your support.
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.